Operator: Ladies and gentlemen, good morning or good afternoon. Welcome to the STMicroelectronics Q3 2017 Earnings Results Conference Call and Live Webcast. I'm Moira, the Chorus Call operator. I would like to remind you that all participants will be listen-only mode and the conference call has been recorded. After the presentation, there will be a Q&A session. The conference must not be recorded for publication or broadcast. At this time, it's my pleasure to hand over to Mr. Tait Sorensen, Group Vice President-Investor Relations. Please go ahead, sir.
Tait Sorensen - STMicroelectronics NV: Good morning. Thank you, everyone, for joining our third quarter and first nine months 2017 financial results conference call. Hosting the call today is Carlo Bozotti, ST's President and Chief Executive Officer. Joining Carlo on the call today are Jean-Marc Chery, Deputy CEO; Carlo Ferro, Chief Financial Officer; Georges Penalver, Chief Strategy Officer. This live webcast can be accessed through ST's website. A replay will be available shortly after the conclusion of this call. This call will include forward-looking statements that involve risk factors that could cause ST's results to differ materially from management's expectations and plans. We encourage you to review the Safe Harbor statement contained in the press release that was issued with the results this morning, and also in ST's most recent regulatory filings for a full description of these risk factors. Also, to ensure all participants have an opportunity to ask questions during the Q&A session, please limit yourself to one question and a brief follow-up. I'd now like to turn the call over to Carlo Bozotti, ST's President and CEO. Carlo?
Carlo Bozotti - STMicroelectronics NV: Well, thank you, Tait, and thank you for joining us on our third quarter earnings conference call. Our agenda today includes an overview of our results, followed by a more detailed discussion by product group. And then we will finish with the fourth quarter outlook and the full-year perspective. ST achieved a number of important milestones in the third quarter. Our transformation is progressing with visible result driven by our strong focus on high growth application areas, such as the Internet of Things, industrial, smartphones, and smart driving. Sales in the third quarter were $2.14 billion, driven by portfolio with multiple drivers of sustainable revenue growth. Our revenue results came along with a strong improvement in our manufacturing performance, bringing our gross margin to 39.5%. We saw substantial improvement in the operating performance of all of our product groups, resulting in an operating margin before impairment and restructuring of 13.7% for ST in total. So let's look at the third quarter to understand how our company is performing and why we think our applications focus will enable ST to drive further revenue and net income growth as well as shareholder value. Beginning with our third quarter revenues, they increased 11.1% sequentially, a better than seasonal performance; and 210 basis points, better than the midpoint of our guidance, with all product groups growing and with an important contribution coming from new products. All regions recorded a double-digit sequential revenue growth. On a year-over-year basis, revenues increased 18.9% on double-digit growth for all product groups. Our customer base continues to be well balanced. Distribution represented 34% of revenues in Q3 with year-over-year point of sales growth of 12.2%. For the first nine months of 2017, total revenues increased 15% to $5.88 billion. Manufacturing efficiencies and a favorable product mix are the main drivers of our gross margin improvement. Gross margin was 39.5% in the third quarter, coming in 50 basis points above the midpoint of our guidance range and increasing 120 basis points sequentially. The favorable factors were partially offset by normal price pressure and negative currency effects net of hedging. On a year-over-year basis, gross margin increased 370 basis points on significantly improved manufacturing efficiency and a better product mix, as well as improved fab loading partially offset by normal price pressure. In the third quarter, our operating income before impairment and the restructuring charges increased to $292 million and represented an operating margin of 13.7%. Here, we benefited from product and profit initiatives, driving operating leverage, better product mix, and manufacturing efficiencies. For the first nine months, operating income before impairment and the restructuring charges rose to $610 million or 10.4% of net revenues. Net income increased significantly in the third quarter to $236 million and year-to-date reached $494 million. Net capital expenditures were $365 million during the third quarter and $891 million year-to-date. Our full-year CapEx plans are consistent with the targeted range of $1.25 billion to $1.3 billion that we highlighted last quarter. Free cash flow was $80 million in the third quarter and $194 million for the first nine months, well above our cash dividend of $160 million year to date, even after a more intensive level of capital expenditure. Our net financial position was $446 million at the end of September. Overall liquidity increased to $2.62 billion, reflecting the $1.5 billion convertible bond offering we completed in July at an overall zero cost and with a structure friendly to our equity shareholders. During the third quarter, we also completed the early redemption of the full 2019 $600 million tranche of our convertible bonds issued in 2014. In the fourth quarter, based on the notice of conversion already received by bondholders and the notice of redemption issued by us, we will settle the full 2021 $400 million trench of convertible bonds. So by the end of the year, we will have completed the early redemption of the full $1 billion convertible bonds issued in 2014. Adjusting for this redemption of the convertible bonds, our pro forma liquidity exiting the third quarter was at about $2.2 billion, after $457 million of dividend contribution and share buybacks in the year. Additionally, in Q3, we strengthen our financial flexibility by signing a new €500 million credit facility with the European Investment Bank. As a result, we have now over $1 billion of available undrawn credit facilities. Finally, we were pleased to reenter the CAC 40 Index in September, demonstrating the progress we have made in the transformation of ST. Now let's move to a detailed review of our product groups, beginning with Automotive and Discrete, ADG. ADG revenues increased 2.6% sequentially and grew 10% in comparison with the year ago quarter. ADG's operating income improved substantially on a sequential basis up 30%, driving ADG's operating margin to 10.9% in the third quarter from 8.6% in the second quarter. For the first nine months of 2017, ADG's revenues increased 6.8% compared to the year ago period, with strong operating income growth of 19%, leading to an increase of its operating margin to 8.4%. Moving to ADG's product review, let's start with what we like to define, greener driving and car electrification in particular. This is a clear growth driver for our industry in the next few years, with car electrification semiconductors growing more than three times faster than the average semiconductor content in cars. During the third quarter, we ramped production of our silicon carbide MOSFET for the electrical inverters, and we are delivering in line with our plans. We are also in the field test phase with a key European carmaker whose – silicon carbide based traction applications. We had additional design wins for the new 1,200-volt SiC diodes in electrical vehicle charger platforms from leading Chinese and American suppliers, as well as several design wins with SiC MOSFET for onboard charging. In our focus on safer driving, we recorded wins in Japan for components in an ultrasonic-sensor interface application and the custom product for hydrostatic braking system. Our automotive microcontroller business continued to enjoy multiple wins, and these included body and gateway applications at leading European and Chinese customers, as well as onboard charger applications and ignition systems at leading Japanese and European customers. In infotainment we landed sockets in a premium sound system with our Class AB and Class D amplifiers for a high-end carmaker and won another socket for our Accordo 5 car infotainment platform for the Japanese market. In our Power Discrete business outside automotive, we captured a socket in a game station for our latest generation of HDMI port interfaces at a market leader. And we won an award for an intelligent powering module from a leading Chinese air conditioner supplier. We also enlarged our range of chip scale package protection devices and landed design wins with leading phone makers around the globe. Moving to our Analog and MEMS Group, AMG, revenues increased 4.2% on a sequential basis, and year-over-year AMG's revenues increased 24.8% on a sharp growth both in Analog and in MEMS. AMG's operating income increased 30% on a sequential basis and almost four times on a year-over-year basis. As a result, AMG's operating margin improved very substantially, increasing to 18.1% in the third quarter, from 14.5% and 5.8% in the prior and year-ago quarter on multiple drivers, including better product mix, operating leverage, and improved manufacturing performance. Year-to-date, AMG's revenues grew 24.3%, driving its operating income to $206 million and operating margin to 14.4%. Moving to AMG's products, our sensor business recorded a strong performance. A clear trend we see here is the adoption of our products in more and more automotive and industrial applications. This is an important element of AMG's diversification strategy in sensors and our ability to build highly accurate sensors. Meeting the quality and longevity requirements in these areas is key to our success. But of course this quarter there are also a number of highlights to be mentioned for our sensor portfolio serving smartphone customers. For example, the ramp of a 6-axis inertial measurement unit and optical image stabilization and gyroscope and a barometric sensor for the Samsung Note 8 and of a barometric pressure sensor for the new water-resistant Samsung Gear Fit 2 Pro. Other successes in the smartphones included multiple design wins and ramps with our touch screen controller and power management ICs for AMOLED displays. In smart homes and cities, we announced a modular programmable chipset that simplifies design and deployment of new smart meters, smart streetlamps, and home and industrial controllers. Three top smart-meter manufacturers are already designing solutions based on this new platform. Our product families targeting smart industry applications, such as our STSPIN motor control family and our intelligent power switch solutions, saw solid growth during the quarter across our broad high-end industrial customer base. In the industrial market, we also had success with power conversion products, such as our ViperPLUS family of high voltage AC/DC converters, as well as switching regulators and DC/DC converters. In our general purpose Analog business, our precision op amps were designed into products by a broad customer base for applications including wearable, home, and building automation. We also introduced a software kit for Bluetooth Mesh Networking for connected smart-lighting and automation applications to support designs based on our Bluetooth Low Energy solution. Now let me share some highlights on our Microcontrollers and Digital ICs Group, MDG, which continued to deliver a strong performance. MDG's revenues increased 14.6% on a sequential basis and 19.4% year over year, led by our general purpose microcontrollers, which continued to post record quarterly sales results. Digital sales also increased sequentially. MDG's operating income grew sharply on a sequential basis, driving its operating margin in Q3 to 17.9% from 11.6% in the second quarter. For the first nine months, MDG's revenues, operating profitability, and operating margin were up substantially. Its net revenues grew 13.7%, accompanied by an increase in its operating income of $208 million, driving its year-to-date operating margin to 13.5% from 2.9%. These results reflect both a strong improvement in our Microcontrollers operating performance and a significant turnaround in Digital. Moving to MDG product highlights, our general purpose STM32 microcontrollers, which are used across a very wide range of products and applications, reached a particularly notable record in terms of unit shipment. A few of the STM32 design wins include a solution for a next-generation home control using LoRA radio connectivity with a key home automation OEM, fingerprint modules with a major PC OEM, and a high-volume consumer application. We also earned design wins in a number of shared connected bike models in China. Moving to security. We announced the integration of our contactless Near Field Communication technology with MediaTek's mobile platforms to help mobile OEMs overcome key technical challenges, such as antenna design and integration and bill of material optimization. We started ramping the production of an automotive Near Field Communication reader for a key electric vehicle manufacturer and design in an NFC reader for the first major rollout of a smart furniture with a key household name. In our custom silicon business, we were awarded a digital ASIC design in 16 nanometer FinFET technology from a leading networking infrastructure solution provider and an Optical IC design win for use in 100G and 200G web-scale data centers. We also began volume ramp of the RF-SOI technology into a new high-end smartphone from a Chinese manufacturer. Let's move now to our Imaging Product Division, which we report in Others. Imaging registered very strong sequential revenue growth, reflecting the initial ramp in wireless applications of ST's new program, including the company's Time-of-Flight and new specialized imaging technologies. Other revenues more than doubled in the third quarter. From an operating performance perspective, Others still recorded a loss of about $9 million, excluding impairment restructuring, mainly due to the start-up cost of our new program. However, in Q3 we saw an important first step of improvement with a 60% reduction of losses on a sequential basis. For the first nine months, Others revenues increased by 60% compared to the year-ago period, accompanied by a substantial decrease in its operating loss. Now let's move to our fourth quarter outlook. We expect to finish 2017 with strong revenue growth and further improvement in our overall operating profitability and net income. Demand continues to be healthy across our product groups and geographies. And we expect the acceleration of growth for our new program serving wireless applications. Therefore, we anticipate fourth quarter revenues to increase about 10% at the midpoint on a sequential basis. Based upon our revenue growth outlook, we expect our gross margin to be about 39.9% at the midpoint. Looking at the year in total, based upon our first nine-month results and fourth quarter midpoint revenue guidance, we expect that 2017 net revenues should grow about 18% compared to 2016, accompanied by a substantial improvement in operating profitability and net income. Importantly, this performance is well-supported by multiple sustainable growth drivers across all our product groups. My colleagues and I would now be happy to answer your question. Thank you.
Operator: We will now begin the question-and-answer session. The first question is from Anthony Stoss from Craig-Hallum. Please go ahead.
Anthony Joseph Stoss - Craig-Hallum Capital Group LLC: Good afternoon, guys, and congrats on the strong results and guide.
Carlo Bozotti - STMicroelectronics NV: Thank you.
Anthony Joseph Stoss - Craig-Hallum Capital Group LLC: Carlo, if you wouldn't mind maybe highlighting each of the segments heading into Q4. Do you expect all four of the business groups to be up sequentially? Or maybe if you could parse that a little bit? And then secondly, I'm curious what you think in terms of customer inventory levels, especially on the microcontroller side, if you have any thoughts on potential double ordering? Thank you.
Carlo Bozotti - STMicroelectronics NV: Well, maybe I will start on the second one and then I leave to Carlo Ferro to comment by product group. Well, I think, as I said before, our point of sales and distribution was pretty strong in Q3. And I think this is across the board and this is in Asia, where of course we have our biggest distribution business, but also in Europe and in United States. And the inventories of our distributors are at an historical low level. We never had such low level of inventory in distributions. I mean, my view is that it's too low. And because, as you know, our portfolio is pretty broad. So it's important to cover all our products. So it's very low. We are also working with our sales and marketing team to try to understand what is ultimately the demand of the customers of our distributors. But so far we do not have any sign of accumulation. On the opposite, as I just said, a very low level of distributors. A very low level of inventory at our distributors, I would say everywhere, particularly in Asia.
Carlo Ferro - STMicroelectronics NV: So, good morning, Anthony. Good morning, everyone. I take the question on the Q3 to Q4 revenues progression. And indeed, the 10% sequential, which would be equal at midpoint a 26.4% year-over-year growth is really very substantial. Carlo in the introduction has indicated that (27:18) the new program in the Imaging division, that started revenues in the third quarter. And we see there is substantial step-up in the fourth quarter. And this is certainly a very important contributor of this growth. However, it's not the only one. It's the most important. It's not the only one. As you specifically ask, Anthony, we can confirm that based on current visibility, all the three product groups on top of the Imaging division anticipate sequential revenues growth from the third into the fourth quarter and anticipate a double-digit year-over-year growth in the fourth quarter in respect to the fourth quarter of the prior year. So we have revenues across the board. To give an overall summary about that, if I exclude the contribution of the Imaging division, the current visibility on fourth quarter for the rest of the revenues of the company is better than a normal seasonality.
Anthony Joseph Stoss - Craig-Hallum Capital Group LLC: Great. Thank you. Appreciate it.
Carlo Bozotti - STMicroelectronics NV: You're welcome.
Carlo Ferro - STMicroelectronics NV: Thank you.
Tait Sorensen - STMicroelectronics NV: Thanks, Tony. Next question?
Operator: The next question is from Jerome Ramel from Exane BNP Paribas. Please go ahead, sir.
Jerome Ramel - Exane BNP Paribas: Yeah. Good morning.
Carlo Bozotti - STMicroelectronics NV: Good morning.
Jerome Ramel - Exane BNP Paribas: Question is on your CapEx, Carlo. With a run rate of now, let's say, 2.3, 2.4 beyond the level you had in Q4, how do you see the situation for your capacity utilization rate going forward in 2018? Because I guess in Q4, you got to be mostly fully saturated. So I'd like to understand what is the flexibility you have from a outsourcing standpoint? And with the existing manufacturing, what is the revenues you can generate? Thank you.
Carlo Bozotti - STMicroelectronics NV: Well, of course, we will come back with the, let's say, I would say, comprehensive description of 2018 when we will meet in January next year. I think first of all, as I said, we reconfirm our plan for CapEx. The new plan has been announced, in fact, one quarter ago. It is in the range between $1.25 billion and $1.3 billion this year. And I have to say that we are also accelerating on the front of our subcontractors with a number of important new initiatives covering a quite broad spectrum of technologies. So it's a combination of CapEx is internally. There are many important programs. Of course what we are doing in 12-inch, it is a significant increase of the capacity crawl with a very, very important reduction of the manufacturing cost. But it's not the only one. Our silicon carbide initiative is another important one. This is a new technology, a new product. But in general the demand is strong also on our BCD technologies. And we are trying to support our internal programs with a very, very, let's say, aggressive initiative in terms of outsourcing, and we will continue. Now, yes, you're right. Our run rate now, it is based on the Q4 guidance is $9.4 billion. But I think is premature to discuss about the next year. And we are working on our next year budget of course, that will be formalized pretty soon. And we will then describe the visibility in January next year when we meet for the fourth quarter result.
Jerome Ramel - Exane BNP Paribas: Thank you. And maybe just as a follow-up. Are you experiencing – or your clients, are they experiencing some shortages? And will you say that in some products you have some allocations?
Carlo Bozotti - STMicroelectronics NV: Yes. Yes. We see shortages. I think we see that, first of all, with some of our suppliers. And then of course it is some time, somehow a challenge to completely serve the demand of our customers. We tend to – how can we say – really to strive to do the best effort, to serve all our customers, from the small customers in distribution to the major customers overall. We at this very moment – I would not like to mention any specific family that is in allocation. But certainly the situation is stretched.
Jerome Ramel - Exane BNP Paribas: Thank you.
Tait Sorensen - STMicroelectronics NV: Thank you, Jerome. Next question, please?
Operator: The next question is from Adithya Metuku from Bank of America. Please go ahead.
Adithya Metuku - Bank of America Merrill Lynch: Yes. Good morning, guys. I have three questions. Firstly on silicon carbide. Can you talk a bit about how you see your positioning here as the modules ramp? You've historically not been that strong in the module space? However, you have had some initial design wins with silicon carbide? So any color around how you see your positioning in the module space as that market ramps and your thinking behind that would be very helpful? And secondly, one for Carlo Ferro. You are currently guiding using an FX rate of $1.15 [to €1]. Can you give us some color on how you see the operating expenses trending into Q4 and into 2018 using the current FX rates? Thank you.
Carlo Bozotti - STMicroelectronics NV: Yes. Well, on the silicon carbide, we work both on stand-alone products, and not necessarily a power module. I have to say that some of these new packages are from what I can say very innovative solutions. But we are also working on a power module initiative. For instance, I can say we have a line for low-power applications in the area of power modules with the possibility to integrate also microcontroller and include microcontrollers in this lower-end power module. And this we define as intelligent power module. And we have an important manufacturing line in Shenzhen in China, where we are also investing to expand the line, because we see a lot of demand here. But we're also working with partners, external partners, on the more traditionally high power modules. And of course, SiC power MOS is one of those products that is very much a part of the strategy. But please do not consider that SiC is only for power modules. SiC is for both. We have important silicon carbine initiatives with innovative, standalone power packages. And we also have initiative with our power module offer. So it is global. And of course it depends on the application and depends also on the choice of our customers.
Carlo Ferro - STMicroelectronics NV: The second question is about currency and operating expenses, right? On currency, moving forward on the next quarter based on the current hedging and assuming the prevailing market rate stays at the current level, as in the bulk of $1.175 or $1.18 [to €1], for the fourth quarter, effective rate is anticipated to be $1.15 [to €1]. In Q1 and Q2 we see some increase around $1.17 [to €1], and then the full effect will be from Q3 on and the normal rollover of the hedging contract. In this respect, what is the impact on OpEx? And particularly your question on OpEx for the fourth quarter of this year? The currency itself on OpEx sequentially could generate an about 10% increase however from the $553 million of net operating expenses of the third quarter currency, as you know, is not the only ingredient, particularly in the fourth quarter and particularly so. In the current situation of result of the company, there are two other important ingredients to consider. One is the seasonality you see normally as a large number of vacation in Europe, and indeed the respect level cost increase in the fourth quarter. And the other ingredient is that based on current perspective of result for the full year of the company, we also anticipated that the variable portion of the labor cost this year is – how say – higher than in the prior year. So overall, for modeling in the fourth quarter, I would indicate a range, a number of net operating expenses are in the plus SG&A minus other income and expenses in a bulk of $580 million, $585 million.
Adithya Metuku - Bank of America Merrill Lynch: Okay. Perfect. Just a quick clarification on the silicon carbide. So is it the idea that you will apply the MOSFETs and somebody else will do the packaging when you say you're working with partners? And what do you exactly mean?
Carlo Bozotti - STMicroelectronics NV: Modules, power modules.
Adithya Metuku - Bank of America Merrill Lynch: No, we...
Carlo Bozotti - STMicroelectronics NV: Of course we have a very important internal packaging activity. Some of these packages are new and very innovative, and this is very good for silicon carbide. On power modules, we have two axes. One is internal. That is the intelligent power module. And in this intelligent power module, the line is in Shenzhen, in our facility in Shenzhen. For this one, there is also the opportunity to include in the intelligent power module, for instance, a microcontroller. But the other line is the higher power kind of power modules, where we work with an external partner.
Adithya Metuku - Bank of America Merrill Lynch: Okay. Understood. Very clear. Thank you.
Carlo Bozotti - STMicroelectronics NV: Thank you.
Tait Sorensen - STMicroelectronics NV: Thanks, Adi. Next question?
Operator: The next question is from Achal Sultania from Credit Suisse. Please go ahead.
Achal Sultania - Credit Suisse Securities (Europe) Ltd.: Hi. Good morning. Just one clarification on the previous question. I think, Carlo, you mentioned that we should expect better than normal seasonality for all businesses, excluding special Imaging. Like, can you just help us understand? Because seasonality has been all over the place in the last few years, like, what is normal seasonal for STMicro? Just want to get a sense of that. And then secondly, on gross margin. When I look at gross margins today, it's already like you're guiding for 40%-plus gross margins in Q4. I guess obviously fab – higher fab loading and product mix have helped a lot. I'm just trying to understand, like, how much are we there in those two process? Like, how much products expansion can we actually see? What are their drivers there? Any color on that would be helpful. Thanks.
Carlo Bozotti - STMicroelectronics NV: Okay. Thank you for the first question, as really is helping to clarify. Indeed at the end, if you look at our historical performance in the last years, particularly after we have exited the platform for smartphones, normally a fourth quarter is not a quarter of growth in respect to the third quarter. Normal seasonality is about flattish. Then I have mentioned that all of the product groups expect sequential growth quarter over quarter. So again this translates in a positive sequential growth. And these translate into a double digit year-over-year growth for the three product groups combined and before the effect of the Imaging division contribution, which is very substantial as you could expect. The other question was the gross margin, on the gross margin progression. Gross margin continues to, at the end, take advantage from efficiencies in manufacturing. They are becoming a little bit less contributing than in prior quarter, as you could expect, after having really the company reach the optimal utilization of the fabs at the full steam on one side. On the other side, the product innovation, the new product contributor on improving the product mix in a way that more than offset the usual industry price erosion. And when moving from 35.5% to the midpoint of guidance at 39.9%, you may consider both this ingredient fab efficiency and the positive balance between a product mix minus industry price erosion, the two major contributors. Clearly offsetting a couple of times of basis point, the negative impact from currency.
Achal Sultania - Credit Suisse Securities (Europe) Ltd.: Okay. Thank you, Carlo.
Carlo Bozotti - STMicroelectronics NV: You're welcome.
Tait Sorensen - STMicroelectronics NV: Next question, please.
Operator: The next question is from Francois Meunier from Morgan Stanley. Please go ahead.
Francois A. Meunier - Morgan Stanley & Co. International Plc: Hello, everyone. Congratulation on the quarter and the outlook. I was looking at the microcontroller revenue line, which is like – has had load of growth. So maybe it's kind of the same question as we heard before. But like, where do you see those products growing more specifically? Are we sure – of course you got potentially shortages. But are we sure that those products are really being used and sold to consumer or corporate? So basically, like, I understand there are shortages. But is there any chance that there are pockets of inventories building somewhere down the supply chain that maybe you don't see it at the distribution level? And maybe it's further down? Now the other – the question of course is on the other line. Can you confirm this is where you put, like, the new quite exciting CMOS? And so that is shipping into a very famous project design in California? And how hard is it to fight for the sockets of next year and the year after, given this is a CMOS sensor? And that I guess everyone is smelling the smell of coffee for this big socket? Thank you.
Carlo Bozotti - STMicroelectronics NV: Well, I like tea, Francois. But anyhow, let's start from microcontrollers. First of all, microcontroller of course is a product. But it is also an ecosystem. Right? So our STM32, at this point, it is an important ecosystem. It is very well-known, I would say, at a global level. And the applications are very large, a variety of applications, really could be anything. We have 700 part numbers. I think this year, we will sell 1 billion pieces, right, of STM32. So it is very broad. It is very large. It is together with the application boards, of course the development boards, et cetera. We track first of all directly the inventories of all our OEM customers. This we know, okay? And certainly is still important, but even if it is not the biggest part for our STM32. The biggest part is in distribution. But first of all, we track the inventory and it is a significant part of course of the business, the inventory of our direct OEM customers, sometimes are midsized customers, sometimes are major customers. So we certainly have a good visibility of this part of the inventory. Then we track the point of sales and the inventories of all our distributors worldwide. Okay? And finally, we are really trying to understand the bookings of our distributors, and we have this data of course. And we try to understand also what is the final inventory of the customers of our distributors. Now are we perfect? Of course we are not. Okay? Is there any sign of inventory accumulation in the world today? No. We do not have any sign. On the contrary, it is very stretched. There are many, many new applications. Some is also new products, new technologies. So this is what we see. And that we also believe that this is a business that is quite sticky in the sense that it is really an ecosystem. So Claude Dardanne I believe has done a really great job with this family. He started 10 years ago, and we want to keep going. So there are areas like connectivity. There are areas like embedding security even in this more general purpose microcontrollers that are very important new areas for us. And we are investing on all of these things. For the other question, we cannot comment on customers, Francois. I'm sorry. Of course I can confirm that the Imaging is in the Others. But I cannot comment on any specific customer. And that again the only thing I can say here that these are things that are very complex. Okay? And it is a large know-how that we have, covering as many aspects of the technology, are very complex things on a broad base. And I would – of course our motivation is to keep going and to do everything that we can to make this business sustainable for many years to come.
Francois A. Meunier - Morgan Stanley & Co. International Plc: Okay. Thank you.
Carlo Bozotti - STMicroelectronics NV: Thank you.
Tait Sorensen - STMicroelectronics NV: Thank you, Francois. Next question, please.
Operator: The next question is from Sandeep Deshpande from JPMorgan. Please go ahead.
Sandeep Deshpande - JPMorgan Securities Plc: Thank you for letting me on. My question, my first question, is to Carlo Bozotti. I mean, clearly, Carlo, I mean, you've been targeting this kind of margin that you've achieved in the third quarter and guided to in the fourth quarter for many years now. So clearly ST has reached a destination as such. Does that trigger I mean other issues at ST, such as – like, I mean that you are looking – that the company will look at more M&A now that you are probably going to be over 15% margin company in the fourth quarter. So in that respect, looking at other places where what you have not involved yourself in over the last five years as you restructured the company? And secondly, my question is regarding back again to the Imaging business. I mean do you need to add capacity significantly again next year? Because I mean very likely, your customer will continue using your part in their lower-end handsets, et cetera. So would you need to add capacity next year? And just how do you look at the CapEx scenario into next year? Thank you.
Carlo Bozotti - STMicroelectronics NV: Well, Sandeep, on the second one, again this is a phase where there is strong growth for the company. Our run rate now, looking at Q4, is in the range of $9.4 billion. And I think it is important for us to formalize our budget for next year. And we will certainly discuss about opportunities for further growth when we meet in January. And we will also disclose what are the capital investment plans and the initiatives that we have in terms of outsourcing. For M&A, is not on the table. I think our priority, it is certainly organic growth. We want to keep going. For us, it's fundamental. And remain disciplined. Of course the company has the capital structure that is compatible with M&A moves. But this is not something that is new for us. But I would like to underlines one more that our priority is to make sure that we continue with the growth, and we continue with a good level of discipline to extract more value from what we do. Having said that, of course, we can never say no. This is a world where there are always opportunities. But our priority is organic growth.
Sandeep Deshpande - JPMorgan Securities Plc: And I have a follow-up, Carlo. I mean, the supply chain seems to continue to indicate that you have some big major win next year. It could be to do with wireless charging or something to do with some new chip as such really. I mean can you – I mean maybe your wireless charging or to do with any other major chip, do you have any major wins ramping up into production next year?
Carlo Bozotti - STMicroelectronics NV: Sandeep, I cannot comment of course on specific applications and specific customers. What I can say is that ST, as you know, wanted to be in the digital core of wireless, not alone, but with the Ericsson group. And for a number of reason, we could not make it. ST has however, I believe, an interesting package of technologies that are around the digital core of smartphone. And this is good for many customers, okay? And ultimately, there are three. One is sensors, okay? Sensors technology to be used in the smartphone applications. The second block that we have is power management. And the third block of technologies that we have that could be used around the digital core of the smartphone is security, okay? So these are the things where we believe we have a lead and where we believe we have good technologies. We know that to be in this socket, you need to have pretty good technologies. Otherwise, the major customers in the world, from China to America, to Korea, et cetera, they would not select us. In general, we believe that in these three important areas that are around the digital core of the smartphone, we have some good innovation, some good technology portfolio. And of course we are working on these three blocks to win important project for the future. And we also want to make sure that it's not only one of the three. We want to make sure that it is balanced, both in terms of technology but balanced also in terms of what we can manufacture inside and what we can manufacture outside.
Sandeep Deshpande - JPMorgan Securities Plc: Carlo.
Tait Sorensen - STMicroelectronics NV: Thank you, Sandeep. Next question, please.
Operator: The next question is from David Mulholland from UBS. Please go ahead.
David T. Mulholland - UBS Ltd.: Hi, and thanks very much. Just coming back on Francois' question on the kind of 3D sensing business you're building today. You made the comment that you want to make that a sustainable growth business. I wonder if you can just update us on the strategy that you're planning to take to kind of build sustainability into that. Are you carrying on with more of a, let's say, discrete approach on being as such the best at what you're doing today? Or are you planning to broaden that out more into building more of a portfolio solution? And if so, how would you do that? Or a platform solution. And then the second just as a quick follow up. In the Q4 guidance, if we look back to the Capital Markets Day, I think for full year 2017, you implied that the Others business would be roughly $700 million, if we got our rulers out. Does that still hold today? Or have things changed slightly within the mix? It seems like it's coming in a bit below that, given the comments you made on the other divisions for Q4?
Carlo Bozotti - STMicroelectronics NV: Okay. So I'll leave the calculation to Carlo on the mix between the segment Others and on the rest. Our approach of course to be a leader in these new imaging applications, you need to master many technologies. Okay? And it's very broad. Let's face it. We believe that we are in excellent position with all of these technology bricks to keep going here for many years at a very high level of revenues. And this is what we want to do. I want to make sure that it must be clear that for us, sustainability is in all aspects the most important priority that we have. And we are working very hard to make sure that in all the bricks that we need in terms of technology for this application, we are the best. And sustainability is the key, key priority. And we are all working very, very – with a very strong focus on this aspect.
David T. Mulholland - UBS Ltd.: If I can just follow up on that. Some of the competitors in this space, you've seen a couple getting together to build platform solutions. Competitors like ams [AG] have been acquiring to build more of a platform solution. Are you planning to follow in that route? Or stay more focused in the sort that you have today?
Carlo Bozotti - STMicroelectronics NV: We have – we – they are following us. We are leading here. We have all the key ingredients that we need, and we will go on for many years.
David T. Mulholland - UBS Ltd.: Okay. And then just on the Q4 guidance question?
Carlo Ferro - STMicroelectronics NV: Yeah. On the – your second question, I frankly don't remember. Again (58:13) that at Capital Market date, we will further relay a very detailed guidance on growth for each of the groups of the company. We have indicated that the overall sales of the company would be expected to grow by 14%, plus or minus 1.5%. Then we said that would have been the plus 1.5%. Now we say this is an 18% year-over-year growth, and this is for the full company. Then on the stack bar that we have presented, anyone may have made the measures or computation. But we never – we're not aware, frankly, that we gave a guidance on Imaging revenues this year at $700 million. Having said that, the growth in Imaging this year is very, very important. Absolutely on the full year is going to be very important and an important contributor to the overall growth of the company.
David T. Mulholland - UBS Ltd.: That's great. Thanks very much.
Tait Sorensen - STMicroelectronics NV: Thank you, David. Next question.
Operator: The next question is from Andrew Gardiner from Barclays. Please go ahead.
Andrew M. Gardiner - Barclays Capital Securities Ltd.: Good morning, gentlemen. Thanks for taking the question. Perhaps if I could ask the last question a slightly different way. I did hear you say a triple digit growth in Imaging again in fourth quarter. So triple digits in the third quarter. And you sort of said that would accelerate further in the fourth quarter. Is that still correct? Are you seeing growth accelerate from an already high level?
Tait Sorensen - STMicroelectronics NV: Andrew, so we said triple digit growth in the third quarter obviously on a low base. And then Carlo's comment was that there would be a continued acceleration of the growth, not necessarily at that level.
Andrew M. Gardiner - Barclays Capital Securities Ltd.: Okay. So the growth rate not accelerating, but still very strong?
Carlo Bozotti - STMicroelectronics NV: It is a matter of semantic here now.
Andrew M. Gardiner - Barclays Capital Securities Ltd.: I mean as you guys said, right, it's a key part of the business. It's a key part of the guidance. I just want to make sure that I'm hearing it correctly.
Carlo Bozotti - STMicroelectronics NV: I would like to facilitate on addressing at this point, as clearly we have intended and will be in a position in respect to the overall ingredients of this communication, to share as much as possible with you, to keep as much as possible confidentially in respect to our customers. Will be very easy for us to give you the growth for each of the, say, groups and the one of the division or even the number underlying the 10%. If we didn't do it at the beginning of this call, it's very unlikely that's a question we'll do by the end of this call. So may I suggest on these, please be patient on taking the message as formulated, which is we do expect sequentially a growth in the company by 10%. Imaging Division will be the largest contributor both in dollar and in percentage to this growth. All the other three product groups are expected to sequentially grow year over year. All the other product groups are anticipated at midpoint of the guidance to grow double digit.
Andrew M. Gardiner - Barclays Capital Securities Ltd.: Okay. All right. We can live with that.
Carlo Bozotti - STMicroelectronics NV: So sorry for that.
Andrew M. Gardiner - Barclays Capital Securities Ltd.: That's fine. Perhaps just another one sort of in this area, I mean relating to sort of imaging products. There has been an awful lot of noise in the supply chain about what's happening, order cuts, bottlenecks, et cetera. The way you guys have just described things suggest that you're certainly not seeing any problem in terms of ramping your products, ramping your production lines, and delivering the product. Is there any concerns that you see further down the supply chain related to this?
Jean-Marc Chery - STMicroelectronics NV: Jean-Marc speaking, so no. We are perfectly on track with this program.
Andrew M. Gardiner - Barclays Capital Securities Ltd.: Okay. Great. Thanks very much, guys.
Carlo Bozotti - STMicroelectronics NV: We don't see really any problems. We are on track.
Andrew M. Gardiner - Barclays Capital Securities Ltd.: Thank you.
Tait Sorensen - STMicroelectronics NV: Thank you, Andrew. Next question?
Operator: The next question is from Janardan Menon from Liberum. Please go ahead.
Janardan Menon - Liberum Capital Ltd.: Hi. Good morning. Thanks for taking the question. I was just going back to your gross margin, where you said that it's a – the increase in gross margin is a combination of the fab loading efficiencies as well as new products coming into the mix. I just, say, thinking if you look at the 2018, you've had quite a lot of new products coming into the mix this year. Do you expect a similar level of new product introductions, which will continue to either support gross margins at this level or even increase it further as we go into next year? And in particular, can you give us some flavor as to which are the kind of products which typically will enhance your gross margin from a mix point of view? And which is it that could be below company average? If you could give any kind of color, that would be great. And I have a follow-up after that.
Carlo Bozotti - STMicroelectronics NV: Okay. You see, Janardan, we are in the process of defining our 2018 budget and finalizing all the related plan. And so it's quite early to discuss gross margin for next year. Clearly the level we are reaching in the second half of 2017 is a very significant progression in respect to the prior years. And my belief is about 4 points of improvement in respect to 2016. And in this respect our focus is, first of all, to ensure this level to be sustainable going forward. And second, to identify and act on further other particularly in the area of the quality and the profitability of our product portfolio through innovation.
Janardan Menon - Liberum Capital Ltd.: And you said – you talked about price pressure. But given that we are in an area of tightness of capacity allocation, very low inventories in the channel, et cetera, would it be fair to assume that price pressure will be lower than sort of normal industrial run rates as we get into 2018?
Carlo Bozotti - STMicroelectronics NV: Yeah. From case to case, you know this industry at the end is also based on long-lasting relationship with large OEM as a portion of business more through distribution. Based on the portfolio, based on the customer, there are areas that are totally unelastic and areas to this supply/demand relationship in the area where some leverage overall exist. In general, at the end we are currently experiencing a milder than normal price pressure. And we may expect that entering 2018, this would remain at the level of price – the level for price evolution. And I cannot clearly comment on the individual actions on pricing with customers.
Janardan Menon - Liberum Capital Ltd.: Understood. Thank you very much.
Tait Sorensen - STMicroelectronics NV: Thank you, Janardan. Next question, please?
Operator: The next question is from Gianmarco Bonacina from Equita. Please go ahead.
Gianmarco Bonacina - Equita SIM SpA: Yes. Good morning. Couple of quick question. The first one is about the ramp up of the Imaging sales. So is it fair to say that your ramp up is in line with expectations? So there is no extra, let's say, inventory that you are building for the client, which means that the normal seasonal decline we should expect for Q1 could be, let's say, average. So should not be, let's say, higher than normal, because in Q4 there is extra inventory. The other question is about the Other line, so the grants, I saw there was a drop, as expected, so single digit. Shall we now pencil for the new – for the next year roughly this $5 million per quarter? Or we should put zero? Or what is your best suggestion? Thank you.
Carlo Bozotti - STMicroelectronics NV: Okay.
Jean-Marc Chery - STMicroelectronics NV: So Jean-Marc speaking. So I confirm Other programs, so we are perfectly on track, so on track according to the volume demand. So no excess inventory. So this is a first point. And about the second point, okay, we confirm what we say. That we will see next year a substantial decrease of the growth. And we have no other news, okay, about that.
Carlo Bozotti - STMicroelectronics NV: Yeah. The $5 million could be a reasonable assumption. Certainly is a decrease, but we will be more precise at the beginning of next year.
Gianmarco Bonacina - Equita SIM SpA: Okay. Thank you.
Carlo Bozotti - STMicroelectronics NV: Yeah.
Tait Sorensen - STMicroelectronics NV: Thank you, Gianmarco. Next question.
Operator: The next question is from Robert Sanders from Deutsche Bank. Please go ahead.
Robert Sanders - Deutsche Bank AG: Yeah. Hi. Good morning. Just on 3D sensing, question for Jean-Marc maybe. Your competitor, ams [AG], is saying that their content opportunity is $10 to $12 in smartphones. So I would imagine then, given that you have a similar portfolio according to you, that that's your content opportunity as well?
Carlo Bozotti - STMicroelectronics NV: But we do not want to...
Jean-Marc Chery - STMicroelectronics NV: No, no.
Carlo Bozotti - STMicroelectronics NV: I mean...
Jean-Marc Chery - STMicroelectronics NV: What I can say? Okay. We have a so strong customization in our product that we cannot comment.
Robert Sanders - Deutsche Bank AG: Okay. And then just...
Carlo Bozotti - STMicroelectronics NV: And again for us, it is not one. It is not only in the sensors. There are three blocks of technologies where we have, I believe, a unique technology leadership. And one is power management, the second one is sensors – and not only imaging but also other things – and the third one is security. And we try to exploit this technology leadership, to sell these three blocks of product technologies to important customers. And many times, because the customers are very, very important, there is a good level of customization, right? But we want to be balanced. We want to be broad and making sure that manufacturing, when is really key for us to make it inside, we run it inside. But it is also good to run some of the manufacturing outside. So this is what we are trying to do.
Robert Sanders - Deutsche Bank AG: Okay. And just a quick follow on would just be, there's been some reports about you guys starting to discuss with the EC about potentially getting funding for a new 12-inch fab. Is there anything you can say about that? I know it's quite far off. But clearly, I mean the amount of subsidy you might get or not would be relevant for our model. Thanks.
Carlo Bozotti - STMicroelectronics NV: I mean, Jean-Marc maybe will comment. But let's be very clear here. We do not have any plan to make new 12-inch fabs. We have certainly I believe the need to support our business both in terms of manufacturing capacity and in terms of R&D. And I think in Crolles we have the opportunity, if there is the demand of course, to further increase the capacity in the present infrastructure. This of course is important for our customers. And it is also important for us, not only for the growth, but also because it will be a further reduction of the manufacturing cost. And we know also that on smart power technologies with time, it is important to go to 12-inch, but for R&D. And having said that, we are of course trying to work to make sure that if we could exploit of course European Union program and initiatives in terms of grants that we will work on this. But this is certainly to support the strategic initiative in ST that are the initiatives that I just described.
Robert Sanders - Deutsche Bank AG: Okay. Thanks a lot.
Tait Sorensen - STMicroelectronics NV: Thank you, Rob. Next question, please?
Operator: The next question is from Taze Veysel (sic) [Veysel Taze] from ODDO. Please go ahead.
Veysel Taze - ODDO SEYDLER BANK AG: Yeah. Hi. Veysel Taze from ODDO. Just a quick question on the distribution business, particularly on microcontroller. There was in September these rumors, okay, you are capacity constrained and could not serve all the customers. And I sense today that your comments direct into similar way, now that you are really capacity constrained. I was wondering from the 34%, 35% distribution business, how much is that microcontroller related? And how fast can you bring that to external partners?
Carlo Bozotti - STMicroelectronics NV: You mean to silicon foundry?
Veysel Taze - ODDO SEYDLER BANK AG: Yeah.
Carlo Bozotti - STMicroelectronics NV: Yeah. Well, microcontrollers, we have a very important volume with silicon foundry already, very, very important. It is, in fact, the family where – well in the past, we had traditional logic at silicon foundry. But in more recent years, microcontrollers have always been the ST microcontrollers. I've always been using also silicon foundry manufacturing on a number of technologies – or the number of technologies. We have now the opportunity to expand the range of technologies at the silicon foundry. We are working on that, but we are also working to expand the internal capacity on microcontrollers. I think in particular, I would like to mention that it may seem strange. But a technology that we started with the silicon foundry that is 180-nanometer is still growing in terms of revenues. And we started many, many years ago. Right? But more recently we are working with the silicon foundry also on 90-nanometer. This is a very important program that we have with a silicon foundry partner. And internally, we are now in production with the 40-nanometer. So there is a range of technologies. There is initiative outside. There is the right initiative inside. What is good here that on the first technology that we started on the STM32, that is a 180-nanometer technology, sales are still growing after so many years. And now 90-nanometer is extremely important. And we started the 40-nanometer on a couple of flavors of technologies. So you see it's very broad internally and externally.
Veysel Taze - ODDO SEYDLER BANK AG: Okay. Thank you. And then and a follow-up on your Time-of-Flight sensor. Okay. The communication business is one part. But moving that into the industrial space, like some of the companies, Melexis, et cetera, are very vocal about that in the industrial space. But also, gesture recognition, driver monitoring in the auto space as kind of first applications there. How is your – yeah, your technology moving into other verticals? Particularly in the auto part, I sense that it's the requirements are much higher. So it will be not that easy to bring Time-of-Flight into this area. Any thoughts around that?
Jean-Marc Chery - STMicroelectronics NV: This is clear that we target the LIDAR device, which are really a key enabling component of the overall smart driving application. And our technology is really a key competitive factor for us to target this kind of LIDAR activity definitively.
Carlo Bozotti - STMicroelectronics NV: So it is important for us, automobile and imaging, very important.
Veysel Taze - ODDO SEYDLER BANK AG: But we have already, like, in the industrial space, robotics, et cetera. Any revenues already with the first, yeah, I think two generation of the Time-of-Flight?
Carlo Bozotti - STMicroelectronics NV: No, we don't.
Jean-Marc Chery - STMicroelectronics NV: No.
Veysel Taze - ODDO SEYDLER BANK AG: No, not yet. And just really a very quick one, if I may, on the previous question, the ramp of – or the scenario ramping a new 300-millimeter fab. I think one of your board members said in the interview even two fabs could be possible by 2021 if you get the funding. I mean is that really so far away? Or if I consider like your largest competitor, Infineon, in the power space going to 300-millimeter, getting scale and scope. Would that be really not a view for your company as well?
Jean-Marc Chery - STMicroelectronics NV: No, I clearly confirm, okay, our plan of record is to further extend our 300-millimeter capacity in Crolles in the current infrastructure according to the demand. And the second point is to set up a 300-millimeter pilot line to develop advanced BCD smart power technology, which are a key enabling technology to address our automotive and industrial segment and power management segment. This is our plan today.
Veysel Taze - ODDO SEYDLER BANK AG: Great. Thank you.
Tait Sorensen - STMicroelectronics NV: Thank you, Veysel. Next question, please?
Operator: The next question is from Lee Simpson from Stifel Financial. Please go ahead.
Lee Simpson - Stifel Nicolaus Europe Ltd.: Great. Thanks for letting me on. Maybe just two questions from me from really just on silicon carbide MOSFET in electric vehicles. Just wonder if there's any cause for revision of the sales assumptions in the second half of 2017? Any reasons for that changing? I know recently you talked about few tens of millions in the back half. And if there is any change, how that might impact progress next year. And certainly as it sort of works off of supposed bottlenecks in supply chain as well for silicon carbide.
Carlo Bozotti - STMicroelectronics NV: Well, for us, it is a very, very important program, as you know. And no, I do not want to comment on of course any specific customer here. We are ramping now. This introduction, this is – for us is very, very crucial, because it is a new wave. And I believe with this new wave, we can be very strong in general in the electrification. I have to say that we have been working with suppliers a lot. A lot. And at this point we have a pretty decent support from our suppliers. We would like to get more. But I think we have a pretty decent support. And I am personally of course involved with these key suppliers in silicon carbide. Our yield are improving continuously. Of course it's difficult we know. But it's working. So we are in production and we are ramping up and we want to keep going. And then of course the volume depends on our capability, depends on customers. But it is a very, very important program for ST. And we are very encouraged by the progress on one side internally, both the packaging and the yield in production. But also with our suppliers that are now starting to deliver high volume production.
Lee Simpson - Stifel Nicolaus Europe Ltd.: Great. Maybe just a related follow-up. Just as we – if take a step back and look at silicon carbide as it goes into the car. What do you get a sense, when speaking to customers, is the main driver for the use of silicon carbide? Is it improved range of the car? Or is it for weight savings or even power efficiencies in the drivetrain? Thank you.
Carlo Bozotti - STMicroelectronics NV: Well, in fact it's the three together. I think it is of course one of the important technology innovation that could contribute materially to mileage autonomy, to – yeah, to the range. And I think what you said is absolutely correct. I think it's a combination of electric efficiency power, lower power consumption, even working at a higher temperature. Right? A smaller heatsink, untraditional heatsink, and also certainly related to this, let's say, less weight. So if you put all together, smaller, lighter, higher efficiency. Of course this has an impact of the mileage range. And this one of the technology driver we believe for the electrification.
Lee Simpson - Stifel Nicolaus Europe Ltd.: Perfect. Thank you very much.
Carlo Bozotti - STMicroelectronics NV: Thank you.
Tait Sorensen - STMicroelectronics NV: Thank you, Lee. Next question, please?
Operator: The next question is from Amit Harchandani from Citigroup. Please go ahead.
Amit B. Harchandani - Citigroup Global Markets Ltd.: Good morning, gentlemen. Amit Harchandani from Citigroup and thanks for taking my questions. A few if I may. Firstly, could I maybe get a comment from you on lead times? How are they trending across your various product groups right now? And if you've seen any further extension over the course of Q3? Or are they coming back? Secondly, with respect to the gross margin. Could you comment on any potential impact from increase in silicon wafer prices? Or is that being offset by the milder pricing pressure that you referred to earlier? And thirdly, very quickly, if you could comment upon silicon carbide traction for you outside automotive? And whether that is also trending in line with expectations or ahead of expectations? Thank you.
Carlo Bozotti - STMicroelectronics NV: Well, I think maybe I take the first and the third, and Carlo will comment second, the question. So lead time stretched. We did not certainly see any improvement in the third quarter. We remained strong. And of course we are working very, very hard to support our customers, the very best of our capability. But we didn't see in Q3 any real improvement in terms of lead times. And this is very, very much on a broad base of technologies, it's not – is a – and I think the book-to-bill was very, very strong in Q3. And despite our effort in terms of a capital investment, there is certainly a stretchening of the lead time. I would say that for the other question was on the...
Carlo Ferro - STMicroelectronics NV: On the silicon substrate.
Carlo Bozotti - STMicroelectronics NV: On the silicon substrate, yeah.
Carlo Ferro - STMicroelectronics NV: On the silicon substrate pricing.
Carlo Bozotti - STMicroelectronics NV: Yeah.
Carlo Ferro - STMicroelectronics NV: Yeah, this I can take. Indeed, the pricing for silicon substrate in the industry is increasing, particularly in respect to the 200-millimeter diameter. And this for us perhaps is a little bit less relevant, not as negative as with some of our supplier we deal with, early contract as opposed to semi-annual contract. Overall, at the end this is a negative. Is part of the overall evolution of the manufacturing cost. And the manufacturing, we have a number of other positive contribution, including also pricing for other categories of supply. Overall, at the end as we structurally are exposed to the price erosion with our customer, we target every year a level of savings in the procurement with our supplier. This is something that this year is occurring similarly to our plan and at a rate of prior years. For 2018 we may anticipate based on current visibility that this price reduction advantage in supplying would reduce substantially, but will remain positive in our overall cost evolution. All the factors and all the different materials and services overall included. When looking at the 9% mid-point guidance for the fourth quarter, clearly the silicon substrate prices were included and already reflect and anticipate some of the affect that we could expect that also entering 2018.
Carlo Bozotti - STMicroelectronics NV: Yeah. The last one was on the silicon carbide for industrial application. Yeah. It's important. I think we – of course in the automobile there are less – there is a less fragmentation of the activity. It is typically with bigger customers. In my address at the very beginning I mentioned that we are on a road in Europe with an important car maker with our silicon carbide solutions. But industrial is very important. And we are working with all our distributors. We are working in the mass market to expand with our products for a large variety of industrial applications. And we see a lot of traction. Of course it is much more fragmented. But it's very, very important for the company.
Amit B. Harchandani - Citigroup Global Markets Ltd.: Thank you, gentlemen.
Tait Sorensen - STMicroelectronics NV: Thank you, Amit. And based on time, we'll take one more question, please.
Operator: The next question is from Günther Hollfelder from Baader. Please go ahead.
Günther Hollfelder - Baader Bank AG: Yeah. Thank you. Just one follow-up question left from my side. On silicon carbide, do you have any design wins for bare die business silicon carbides today? I think you also mentioned a supplier with a SiC MOSFET design win in your press release. So I was wondering of whether you have anything here based on bare die business?
Carlo Bozotti - STMicroelectronics NV: Yeah. This I – sorry, I don't know.
Günther Hollfelder - Baader Bank AG: Yeah, I just – I was...
Carlo Bozotti - STMicroelectronics NV: You mean die without the package?
Günther Hollfelder - Baader Bank AG: Yeah, yeah, but you...
Carlo Bozotti - STMicroelectronics NV: Yeah. I don't know. I need to ask. I'm sorry, I...
Günther Hollfelder - Baader Bank AG: Okay.
Carlo Bozotti - STMicroelectronics NV: From time to time, on silicon, we have this kind of business of course. We also sell from time to time dies. But I do not know specifically in the case of the silicon carbide.
Günther Hollfelder - Baader Bank AG: Okay. No problem. Thank you.
Carlo Bozotti - STMicroelectronics NV: Thank you.
Tait Sorensen - STMicroelectronics NV: Thank you, Günther. So at this point we'll close the call. Thank you, all, for listening in. And please let us know if you have any questions.
Operator: Ladies and gentlemen, the conference is now over. Thank you for choosing Chorus Call, and thank you for participating in the conference. You may now disconnect your lines. Goodbye.